Operator: Good morning, and a warm welcome, dear ladies and gentlemen, to the analyst and investor web conference regarding the Stabilus results in the first quarter of fiscal 2026. [Operator Instructions] Let me now turn the floor over to your host, Dr. Michael Buchsner.
Michael Büchsner: Hello, and welcome to our quarter 1 results call of the Stabilus Group. As always, you have our CFO, Andreas Jaeger; and myself, Michael Buchsner, being the CEO of the Stabilus Group in the call. And I'm happy to lead you through our results for the first quarter. And then for sure, we'll also have a Q&A session at a later stage. Yes, in a nutshell, I would say we hold our course in a very difficult market environment, as you can imagine, in the Automotive and also in the Industrial space. However, we had a very strong cash generation. If you compare that to the prior year, we've been doing particularly well and we've been doing particularly well in terms of our operational management of the cash flow. Our cash flow came out with EUR 23.9 million. And yes, like-for-like, last year comparison, we've been at EUR 8.9 million. So very positive development in that [ term ]. Our EBIT margin stayed strong with 10.1 percentage points. And as you all know, it's pretty much back-end loaded this year around because towards the second half of the year, our efficiency program and the new launches kick in. That's why the year will be for us back-end loaded in terms of the margin development and loaded on the second half of the year. Also, a good highlight was the EBIT margin we had in China. As you can imagine, and we always talked about it, the environment in China is getting tough, tougher in terms of competition. And this is why we also took the decision not to hunt for each and every business, but to concentrate also in these difficult times on the EBIT margin development, and we had an outstanding result. If you compare that also to the prior quarters and even the prior years, we had in the first quarter, a record EBIT margin in China of 18%. However, I said at the beginning already, we, for sure, are in a challenging market environment. And you see that forefront in our revenue for sure because the revenue was on EUR 291 million, which at the end of the day is 7% change versus the quarter 1 prior year, and it's becoming softer. So the first quarter is particularly kind of an impact we saw in predominantly China due to the fact that this consumer sentiment was particularly low. Then on the other hand, we also are -- as we are represented predominantly in the upper segment cars in the electromobility like Tesla, we also feel the market environment. On the other hand, there is a big FX impact of negative 3.7% year-over-year which at the end of the day is unfavorable for us. However, as I said before, the margin generation in China was particularly good and also the cash flow generation was on a very good level for us overall. And the EMEA and Americas region stay very strong in terms of organic development. The region we currently focus on is Asia Pacific, as you know. Our overhead reduction program is well on track. We started, as you know, this transformation program in the first quarter. So starting with October, we've been concentrating on cutting down costs on a second step in the overhead structure. You know that over the course of the past 2 years, we always have already concentrating on the reduction of our costs predominantly on the operations side. We've been doing automation projects in Koblenz, which materialize throughout this year and the years to come. And now as you already have been informed about quarter 1, means starting October last year, we started also to cut down on overhead costs. And this transformation program is basically a boost for us for the second half of the year and the years to come. And we're basically taking out already in 2027, EUR 19 million in terms of fixed costs on our P&L. And this is something which gradually kicks in, in the next quarters ahead of us. Net leverage ratio, it's important for us to stay around 3x. We have 4.5x as a covenant, but we want to stay well below that with our net leverage ratio. And we've been in the range of 3x, so 3.04x this time around as of December. And I would say, as I said at the beginning, we at the end of the day, start in a market environment, which is soft and challenging with a strong and good position predominantly on the cash flow. So with that, we will go into the next page, and I would like to draw your attention a bit more on the technical stuff, the growth drivers for here and now, the months, quarters to come and also the next years. We invested in the past years, as you know, on the Industrial Powerise. Why is that particularly important for us? We started the same thing with Gas Springs, right? We are a leading company for Gas Springs. We brought the Gas Spring on a very good position, nice quality, excellent cost into the market also for all kinds of industrial applications. So you find them everywhere. So now we are doing the same with Industrial Powerise, right? We started in the Automotive side, are producing on highest quality and best cost position, the Powerise now for the industrial space. We've been having revenues beyond EUR 5 million in the first 12 months of our doing last year. So it grows double digit. And this basically receives a lot of interest of our customers. It receives a lot of technical support by our customers, and they love this project -- product because it's very robust. It's built on automotive lines to a very nice cost position. And as I said, we already started after the market introduction, which happened early last year with EUR 5 million we've been generating in terms of revenue on a very exceptionally high margin. As you can imagine, Industrial Powerise, part of the industrial space and industrial business enjoys good margin at this point in time. Second position is here as a growth driver for us, the door actuation. Door actuation, a wonderful product to be a next generation of vehicle comfort, right? It opens and closes doors automatically. It's a must-have for all kinds of cars with autonomous driving, self-parking, but also it enjoys exceptionally good growth rates in China these days. So we are in Geely, in Korea, we are in Hyundai. Actually, we start Li Auto this year. And there is not a single customer who's not interested in this next-generation vehicle comfort. And this takes off in the second half of the year as our customers, predominantly BMW, but also Tesla once more and also Li Auto to Xiaomi will fill their pipeline for the upcoming launches, and we enjoy also good business wins there. And as I said before, yes, currently in China, the consumer sentiment is on a decline. We saw that October, November, December, but this technology enjoys very nice growth rates, and it basically goes off in the second half of this year and will greatly help us in terms of sales. Last not least, also the third growth driver for us is our automation and the automation synergies. As you can imagine, over the course of the last years, we've been working a lot on synergy generation in terms of sales and technology with our Destaco portfolio. And now here, I would like to highlight first time that we are working already also on humanoid robots and industrial robotics systems. We have not only gripping systems, which we tailored now to humanoids and to industrial robots, but also we are with one of our OEMs where we're already in a strong business relationship in the automotive side, who decides to produce or decided to produce humanoid robots big scale, U.S. company, U.S.-based company. We are working on electromechanical solutions for the hinges of humanoid robots. And this is a development project which we recently entered. And this project, along with industrial robotics, gripping systems, the opportunities we see also for us in the automation space materializes as we speak and helps us a lot also throughout the year to generate additional highly profitable margins business. So the 3 growth drivers, the growth sentiment remains unbroken and unchanged. The big growth drivers, Industrial Powerise, automation technologies, doors actuation, they are kicking in. And as you can imagine, along with the program we are driving to do a reorganization and restructuring on the overhead side, we take and use these days and times of softer business to actively shape our future. So that's the strategic points we've been achieving over the quarter, of the quarter 1, October, November, December. However, I would like to also go into the details of the financials with you before I hand over to Andreas for the details on the regional view. Overall, revenues, as I said, EUR 291 million in terms of euros. Organic growth was soft, minus 7%. FX impact around, about 4%. And then we see here this China impact, predominantly Europe, North America growing well. In China, consumer sentiment, upper segment cars, when inflation hits the fan, people decide to go for lower segment cars in difficult days. We are with our products predominantly on the top segment cars, and this leaves its marks for sure. But we assume that being a short-term effect, which at the end of the day, will recover in the second half of the year from our perspective. Destaco synergies well on track with EUR 1.7 million at this point in time. Our target this time around is EUR 10 million for a year. We will achieve that. Our forecast shows that. As I said, there is several elements in the pocket like the production of gripping systems for humanoid or other elements for autonomous and robotic systems. In terms of EBIT margin, our EBIT margin came in with EUR 29.3 million, so it's 10.1%, predominantly supported by a very strong industrial business, but also by China because we decided in China to go for EBIT margins, not necessarily grabbing all the businesses around there, well knowing that the door actuation business at the end of the day has a higher margin to begin with, we said we rather focus on the high-margin products and the door actuation systems in order to generate good margins for us, and this strategy materializes. It's basically an 18% EBIT margin in China, overall 10.1%. And this, at the end of the day, will also improve over the course of the year as our effects of our restructuring projects kicks in. For sure, Destaco cost synergies are still on track, and we monitor them on a quarterly basis, EUR 0.5 million. Here, the target is for the year, EUR 4 million, and this is absolutely what we will achieve. Net profits are impacted for sure by FX, FX losses. But however, also here, FX and tax expenses, they are kicking in early in the year. This is something which you will see develop positively over the course of the year. And then last not least, our free cash flow, which is exceptionally good. The free cash flow is on EUR 23.9 million. We already got a question beforehand, whether this be driven by programs we did on the financial structure, but this is basically a good management of the operational side, a good cost control, good control on the forecast all levels on the operations side, which drives that and less financing programs. So with that, I would hand over to Andreas for some details by region.
Andreas Jaeger: Good. Thank you very much, Michael, and a very warm welcome also from my side. I go directly into the region, and I would start with Americas. In Americas, we see in euro, a minus of 5.7% in the revenue. But if we consider the FX or the effect from foreign exchange rate translation in America, the organic growth was only minus 0.5%. The EBIT margin at 4.7%, we are not really satisfied, and Michael already mentioned it briefly, and I will come back to that on the next slide. In EMEA, also in reporting currency, the revenue minus 1.4%. And if you also factor out here the FX impact, we are only 0.3% negative. The margin at a solid 10.8% and considering the slightly lower volume, we could even increase the EBIT margin by 1.9 percentage point that shows on one hand that we really took out fixed costs and that we also worked on flexing our cost basis. In Asia Pacific, in the reporting currency, minus 30.6% year-on-year. Michael already mentioned it, predominantly in China with a challenging market environment in automotive. But the EBIT margin, clearly the highest with 18.1%, and considering all the challenges and the lower volume, we could almost maintain the EBIT margin and in percentage point, it went down only by 1.3 percentage points. If I then go now more into the details for Americas, you see again on the revenue, the minus 0.5%. We grew organically in Automotive Gas Spring and in Powerise. And if we compare that slight growth in Automotive Gas Spring and Powerise with the latest S&P data from automotive, they were slightly negative. They told us minus 0.8%. So also, if we take the market as a benchmark, a solid development of the revenue. On the EBIT side, we are not fully satisfied with what we achieved in there. On one hand, we saw the volume impact. We also saw and we informed you at the year-end presentation already that we changed the allocation and the recharges of the intellectual property right. So that had a negative impact on the EBIT. But then also the challenges we had in Mexico, in the U.S. Gas Spring operation, where we had a higher turnover in the workforce and that drove additional cost for training and also hampered the efficiency in the operation. If we then move on to EMEA, we can show a different picture. In EMEA, we are almost at prior year level, if we look at the organic growth, we saw a slight decrease in Automotive Gas Spring and Industrial Automation. On the other hand, we grew in Automotive Powerise. Also, if we here, benchmark ourselves with the information that we received from the S&P automotive market with a minus 2.2%, we delivered better numbers than the S&P number told us. If you look at the EBIT, slightly lower volume, but it's clearly higher EBIT margin and even in absolute numbers, an increase of the EBIT that shows we really took out fixed cost in Europe, and we could also flex to the volume our production cost. The last region then that I will cover is then APAC. In APAC, we already saw the decline that Michael at the beginning told us, the major impact we saw in this minus 24.9% comes from China. It's a challenging market, as Michael already said. If we then look at the development of the EBIT, yes, in absolute number, it went down, but we maintained a very solid margin of 18.1% in a very challenging environment. If we then look at the development of the business segment by market segment on the next slide, you saw that we slightly could reduce our portion from automotive with 54%. In Q1, we were at 57%. And however, most of the segment showed a negative development. If I then continue with the net leverage and the net financial debt on the next slide. You see since 2024, we could decrease the net financial debt by 7.5%. And if you compare that what we achieved in Q1 '26, we could reduce the net financial debt by EUR 13.3 million and reducing the debt and bringing down the leverage ratio is a clear priority. And we also said we will bring it to 2.0 within the next 2 years. On the net working capital, Michael mentioned it at the beginning, and we talked about the cash generation. You see during the last 3 periods, the net working capital came clearly down, and we are now at EUR 218.6 million or if you compare it to the ratio and comparison to the revenue, it came down again to 17.3%. The investments, you see them year-over-year and then the first quarter, the first quarter was with EUR 18.1 million, a little bit on the lower side, if you look at the investment. However, this has more to do with the seasonality. For us, it maintains a priority to invest in the future and develop new and interesting product technology, smart door actuation, electric grippers and also the automation of our production facility remains a priority. And with that, I would give back to Michael for the outlook.
Michael Büchsner: Thank you, Andreas. Yes, we -- as you know, and we know clearly and our main focus for the second quarter is to work on our restructuring project to continue to do the rollout, basically to manage our overhead costs, but also to further improve us on the operational side. And this is something which at the end of the day, will lead us into February and March, right? Over the first half of the year, we said we'll roll that program out. And then at the end of the day, we will harvest that fruit starting in the second half of the year. And this is something which at the end of the day helps us in terms of sales initiatives, right? Door actuation, continue to win business in terms of business on the Industrial side, it's Automation and the Industrial Powerise. That's what we're currently working on. And as Andreas said, also in the second quarter, we'll continue to work on improving our North American plant in order to deal with the fluctuation we had on hand, which drove a negative performance there. Overall, with all these measures, our forecast is still on track, right? Our forecast, and we confirm it will be at EUR 1.1 billion sales, up to EUR 1.3 billion sales for the year in euro. The EBIT margin will be in the range between 10% and 12%. And also the adjusted cash flow is on track with EUR 80 million to EUR 110 million free cash flow after all. So that are basically the points we are currently working on. And if we go on the next page, actually, here, a brief summary for you. The -- actually, we are impacted for sure by the market environment, no doubt about that. However, with the initiatives we have on hand, we clearly know what to concentrate on in the second quarter and thereby, the guidance is confirmed. For sure, with whatever we do, we work and continue to work with strong team efforts on our STAR 2030 initiatives, right? Andreas mentioned it as well. Our main priorities remain there to invest in new technologies. We have had great achievements in the first quarter, we have been winning door actuation business, Industrial Powerise businesses and also even up on the Automation side, to contract development contracts for humanoid robots. That's what we're working on currently. And yes, in the second quarter, you will see development in the restructuring program. Next quarter, we will give an outlook about where we stand, what we achieved and which further points are necessary in terms of cost management, right? It's -- we've been managing the big and low-hanging fruit, which for us is now the restructuring program rollout. It has been starting very well. But also the cost management, it is very, very important to us in all the different regions. And we will also put a strong focus on the improvement of the operations in North America and on top of the sales initiatives. Because there are 2 things which are important for us this year, it's the cost management and the sales initiatives in order to prepare for a continuous success in our industry. Yes, with that, we would hand over to you for questions.
Operator: [Operator Instructions] So the first question is from Akshat Kacker of JPMorgan.
Akshat Kacker: Akshat from JPMorgan. I have 3 questions, please. The first one starting on your China business. As you mentioned in the first quarter, the market environment wasn't supportive. We have seen organic growth declines of 20% to 30% across your business segments in the first quarter. Could you just give us more details in terms of a rough split between volumes and pricing? And in terms of how this year plays out, when do you expect volumes to start stabilizing in China, please? That's the first question. The second question is on the North America margin. You did talk about some operational inefficiencies, higher personnel and training costs. Could you give us an idea on what kind of impact can we expect on the business for this fiscal year? And how quickly can you turn around things in North America, please? And the third one is on your assumption of a second half recovery. I completely understand that you talked about new launches and benefits from underlying cost actions that you have taken over the last year. And also keep in mind, Q1 always has a seasonality for your business in terms of higher revenues and margins in China. So could you just give us some sense on how much of a pickup do you expect in the business second half versus first half this year, both from a revenue and margin perspective?
Michael Büchsner: Thank you very much, Akshat, for your questions. I give it a start and then for sure, I hand over also to Andreas. Talking about the first quarter in China, which is an exceptional good EBIT margin of 18%. Your question was in terms of sales, how were sales developing and what were the pricing impact. You know out of the last year, over the year, we had 8% pricing kicking in. That's just a given. If you compare now last year's first quarter with this year's first quarter, you for sure see this 8%. We've been always talking about it that this 8% are exceptionally high. Typically, in the automotive industry, we can deal with 4%, 4.5% maximum in China because in China, also technical changes are easier to introduce. However, the big topic we saw last year is that the competitor for front engine did basically set new target prices. And this was something, and you mentioned it, was visible throughout the year in terms of the margin development in China in a very firm way. And this is something which we've been constantly working on. So the impact was 8% pricing out of the revenue decline because we kind of -- you have this carryover effect. And if you compare quarter-to-quarter, first quarter to first quarter, basically, the first quarter last year was October, November, December '24. This is when the pricing discussions start at bigger scale. And now this delta, as I said, is around, about 8%. As stated, we are able to deal with 4% typically. And now we have to take extra actions to improve our profitability. This is why you also see the profitability of China still being on a decent level this year around with wonderful 18% because apparently, we can deal with this, but it has a time delay until we can deal with such margin deteriorations or pricing pressure in the industry. So these were the first 8%. Then we had an FX impact, a couple of percentage points. And I'm sure Andreas will talk about that. I think it was in the range of 3% to 4%. And at the end of the day, then something in China -- in China, our business staggering is we have half of our business Western world OEMs, half of the business Chinese OEMs. So we are balanced very well. There is this consumer sentiment of China going down, which makes up around, about 4%, right? So the consumer sentiment after all went down 4. This is following the studies of market developments in China, where we have access to, and this is something which will lead us into the second half of the year. That's the strong belief of economists in China in a nutshell. And then there was, for sure, the impact that we, as Stabilus Group are operating on the top segment cars in both China's OEMs and Western world OEMs. And when there is high inflation and people feel financial pressure, they decide on a shorter term because we saw that in the past as well, on a shorter term to concentrate on buying lower segment cars where typically the fitment rate of electromechanical devices is less. So in a nutshell, coming back to your first question, the answer to that, 8% was pricing around, about. There was an FX impact of 3% to 4%. Then you see a consumer sentiment for the business of 4% and then the remainder is then something which goes in line with the different segment of the cars have been produced like the upper segment cars, which, by the way, we saw in all regions. But in Europe and North America, we've been better flexing that with industrial business as our industrial business position is bigger on a bigger scale than in China. This was more difficult this time around in China. And that's why particularly the Asia Pacific region was impacted by that. So that's your first question. Then North America. In North America, the performance-related points, they are basically affecting our 2 automotive plants. It's the one in Mexico, and it's the one in Gastonia. And these 2 plants basically did lose around, about EUR 2 million last quarter, I would say, plus or minus on the efficiency side. And this is something which we're currently working on. There will be an impact also in the second quarter. We expect that in the third and the fourth quarter, we have things back under control. And this is something that was, as Andreas said, people fluctuation related. So we lost some people predominantly in the workforce, concentrating on direct labor, but also maintenance people. And as you know and can imagine, maintenance people are basically the lubricant in the transmission and gearbox of such a plant, right? Because the maintenance people, they guarantee that the uptime of the lines is sufficient to serve the demand of the customer. Then you see a complete chain reaction, right? You lose some of the maintenance people, then you have less output, then you get into the mode of some premium freight, quality is impacted as well. And this is something which we've been working on. We took sufficient measures. We will get out of this position, but it actually takes a couple of months to get there. So this basically is what we're working on for the second half of the year. You will see out of the improvements of the restructuring program, 1 percentage point improvement in the second half of the year on our EBIT margin. And then fixing the operational issues in North America will add another percentage point. And this is something which then lift us in terms of EBIT margin so that we're getting closer to the margins we had last year and also getting us within our guidance ballpark. So Andreas, from your side, I mean I've been explaining intensively now the root causes and percentages, how they move up and down with our operational points. Because actually, it's very important to us that we have a clear picture of where we are suffering and how we're impacted by the current market circumstances. That's why it's important to talk about all these details. I understand that very well. But Andreas, are there any points you'd like to add?
Andreas Jaeger: If I look at the 3 questions, I would say they are all covered, but we can double check that with Akshat. Did you receive what you were looking for?
Akshat Kacker: Yes, that's very clear.
Operator: The next question is from Klaus Ringel of ODDO BHF.
Klaus Ringel: I actually have 2 and would take them one by one. One would be a bit more detailed coming to Akshat's question about the business momentum. If you can already share a bit of light on your expectation for Q2. I mean margins shall improve over the course of the year, but regarding top line, can we also already expect some pickup in Q2 versus Q1? Or shall we rather expect something going sideways? This would be the first one.
Michael Büchsner: So in terms of revenues, our expectation that in the second quarter, it moves rather sidewards. Why is that? In the second quarter, there is the Chinese New Year, which for sure is something which we have in our budget and are planning already, and it's considered in the guidance. And in terms of North America and Europe, we see a rather flat business out there. We see in the automotive industry, not too much movement. And on the industrial side, typically, the time when you get directionally a better view on how business develops is the spring time because this is when the orders kick in for new launches and other stuff, that's too early to say. So I would say January, February, March is moving rather side from our business. But however, this is how we build our business plan this year. We said the first 2 quarters will be rather on the soft side. And then in the second half, it will be picking up. And then similarly, in the margin, and this is why at the end of the day, also, we confirm for sure our guidance because that's what we've been planning for to begin with.
Klaus Ringel: Okay. Second one is on the additional point you're talking about humanoid. And I really appreciate that you also start talking about this. Some other players, yes, a bit more, much more vocal for a couple of months now. So I would be very interested how immediate this potential really is. I mean you have this big U.S. customer in automotive, which also has obviously big ambitions in the humanoid robots. Is this really a couple of, I don't know, hundreds, thousands or millions of revenues over the course of the next 12, 18 months? Or is it less? Is it more? So this would be great. And also in terms of margin, is it fair to assume that you can achieve a kind of industrial margin in this area?
Michael Büchsner: Yes. Thank you very much for this question. First of all, you mentioned at the beginning of your sentence that some already -- some people already have been talking about humanoid robots and automation in a broader scale in a different way than we do. The point is, for sure, in this humanoid robots, this is a customer which we also have on the automotive side. And there, sometimes it's not kind of allowed to talk about such movements. On the other hand side, if I talk about the stake of volumes, sometimes there is restriction by governments to openly talk forefront about it because we need to meet all the regulations to deal with this in the first place, but also it's then, in many cases, restricted in terms of communication because it's military service. That's to begin with. But we will disclose as much as we can for sure, not jeopardizing our business model with basically infringing any agreement we have with our OEMs. That's something which we very strictly kind of meet. So -- and then the impact, there is 2 areas. There's electromechanical devices, which we're currently working on for hinges and stuff for humanoid. That's something which is in the development phase. You will not see sales -- too much sales this year. There's difference in terms of the gripping systems, which we do for humanoid and also for end-of-arm tools for cobot systems. This is a new development with Destaco with basically a smart gripping system. And these gripping systems, they are in place already, and this is a couple of hundred thousand already in the first half of the year, which we deliver to the customers, and we expect that this goes up because there are new solutions with electrified version plus also feedback from the parts. So it's basically intelligent gripping system, which we did offer to the market here lately, and that's perceiving very good feedback. These are the 2 elements which are leading to that business opportunity for us. I hope that answers your question.
Operator: So the next question in the queue is from Yasmin Steilen of Berenberg.
Yasmin Steilen: So first, coming back on the price erosion in China. So we have seen the headwinds in Q1. However, you stated during the last call that you expect price erosion in China to ease a bit. So what is your current view on the overall price headwinds in China for Powerise in FY '26? That's my first question. Then with regards to the door actuation -- door actuators, you just stated that the ramp-up should happen in H2. So can you provide more color on the expected sales volumes to impact the second half? And how should we think about the profitability here in the ramp-up phase? And the last one on Destaco. I might have overseen this in the interim report, but could you share any comments on the profitability, please?
Michael Büchsner: So thank you very much for your questions. In terms of pricing in China, the pricing in China is in the range of 4% to 5%. That's what we assume this year. This is the pricing levels which we are used to. As I said before, last year, we saw this exceptional pricing of twice as much in the range of rather 8%. This year, we see that continuing with 4% to 5%. And that's something which we are in a better way, able to deal with because that's the typical price reductions you get out of efficiency and you get out of your bill of material with your normal doings in the business, and that's something which we definitely can deal with in a given business year. How do we do that? We take our suppliers and do supplier negotiations because in absolute terms and volumes, for sure, the volumes go still up. It's a pricing-related reduction. So the volumes go up. And then at the end of the day, we negotiate with the suppliers in a better way, and we get their contribution to our success in the first place. Then the second thing is that our operational efficiencies in the plant are main point of our concentration in terms of our improvements. So that's something we saw over the course of the first quarter and second quarter already happening that the price reductions for this year will be in the range of 4% to 5%. The second question you had, the door actuation system, the profitability and the launches. Actually, the launches in the second half of the year, they are filling the pipeline for main customers like BMW. There is also Tesla involved, there is Xiaomi involved and some others smaller scale. This is business which we, at the end of the day, won a couple of years back and the launches are planned this year. And the profitability is on good levels. It's comparable or even slightly higher than our margins on the Powerise side. This is driven predominantly by the good launch performance we already drove in Asia Pacific. In Asia Pacific, specifically with our customers in China and Korea, we could establish a good position to also be leading in the price negotiations with the suppliers. Because at the end of the day, we've been winning over the course of the past years in the range of 40, so 4-0 percent of all businesses out there in door actuation. And due to the fact that we invested a lot in not only capacity because we have in all the different regions now aligned. We also invested heavily in the area of building up our supply base and technology. So we are basically frontrunner in terms of developing the right software, integrating the sensorics, having the radar systems on hand and so forth. So that's very beneficial for us. And at the end of the day, I would also come back to Klaus' question because Klaus asked the profitability of humanoids and profitability on industrial elements. I did forget to mention that this is for sure, average and slightly above industrial margins to basically close also the question we had from Klaus before. And then last not least, you were talking about Destaco profitability. Destaco holds the profitability very good. There is 2 things to keep in mind. One thing, and this is something which also with Andreas, we can go in detail, there is a reshuffling of overhead costs in the organization due to the fact that now we distribute the complete overhead costs to the complete business we have. This is first time that we also burden Destaco with the company overhead rate across the board. So that means the like-for-like comparison at the end of the day is something which can be explained in detail, but it accounts for basically 2%, 2.5%, which we burden on the Destaco profitability. Other than that, the businesses we are taking in, considering the current industry weakness, we are absolutely fine with. I hope that answers your question.
Yasmin Steilen: Yes. That was very clear. And the last one on the -- sorry, on Destaco.
Michael Büchsner: Excuse me?
Yasmin Steilen: So in terms of Destaco profitability, how should we think about it going forward?
Michael Büchsner: This is what I meant. They're very stable in terms of the profitability. We did distribute first time this year to the Destaco business also the overhead costs. That means in the financial numbers, you will see now 2 effects. You will see a burden of the overhead -- related overheads to the Destaco business, which accounts for 2.5% around, about. And then you will also see that it's now coming together with other businesses like the synergy business we have on hand. And this is basically also impacting the position of Destaco. But overall, it remains on a very good level for us. So it basically holds the course, except this burden of the overhead rates, which we first time basically also distributed now to the Destaco business.
Yasmin Steilen: Okay. So just to clarify, so the former indications you gave about 19% to 20% was ex-overhead costs?
Michael Büchsner: This was without allocation of the overhead costs, indeed, yes.
Operator: At the moment, there are no questions in the queue. [Operator Instructions] As of now, there seem no more questions to be on the line.
Michael Büchsner: Yes. If there are no further questions, then thank you very much. One point is very important. We know exactly what to work on in the second quarter. It will be continuing the restructuring program, watch costs and for sure, use the drive levers we have to boost sales, which at the end of the day will kick in second half of the year, like our wonderful door actuation system where we have the launches coming in the second half of the year on the industrial side, the Industrial Powerise and then the automation system predominantly in the space of automation, but also humanoid robots, which we are in a long run working on. With that, thank you very much. I wish you a nice and successful week. Bye, everybody.
Andreas Jaeger: Thank you. Have a good week. Bye.